Operator: Good morning, and welcome to the first quarter 2010 earnings release conference call for FMC Corporation. The phone lines will be placed on listen-only mode throughout the conference. After the speaker's presentation, there will be a question and answer period. (Operator Instructions) I will now turn the call over to Mr. Brennen Arndt.
Brennen Arndt: Welcome everyone to FMCs first quarter 2010 conference call and webcast. Pierre Brondeau, President and Chief Executive Officer, will begin the call with a review of our first quarter performance. Pierre will then turn the call over to Ted Butz, Vice President and General Manager of our Specialty Chemicals Group for an in-depth review of the performance and prospects of both our biopolymer and lithium businesses. Following Ted, Kim Foster, Senior Vice President and Chief Financial Officer, will give us a report on our financial position, Pierre will then provide our outlook for the second quarter and full-year for 2010. We'll complete the call by taking your questions. Joining Pierre, Kim, and Ted for the Q&A session will be Milton Steele, Vice President and General Manager of our Agricultural Products group, and Michael Wilson, Vice President and General Manager of our Industrial Chemicals and Mark Douglas, Vice President of Global Service in International Development A remind that our discussion today will include certain statements that are forward-looking and subject to various risks and uncertainties, concerning specific factors that are summarized in FMC's 2009 Form 10-K, our most recent Form10 and other SEC filings. This information represents our best judgment based on today's information. And actual results may vary based on these risks and uncertainties. During the conference call this morning, we will refer to certain non-GAAP financial terms. On the FMC website, available at fmc.com, you will find the definition of these terms under the heading entitled “Glossary of Financial Terms.” In addition, we have provided our 2010 outlook statement and a reconsolidation to GAAP of the non-GAAP figures that we will use today. It's now pleasure to turn the call over to go Pierre Brondeau.
Pierre Brondeau: Thank you, Brennen, and good morning, everyone.
Operator: Ladies and Gentlemen, this is the operator. Please hold and conference will resume momentarily. Thank you for your patience.
Pierre Brondeau: We realized continued strong sales growth in Agricultural Product and Specialty Chemicals and demand recovery in Industrial Chemicals. Across the company our sales growth was especially strong in the rapidly developing economies in Asia and Latin America. Summarizing our first quarter results; sales of $757 million were 10% higher than last years first quarter. While earnings before restructuring and other income and charges, of $1.34 per diluted share were also 10% higher than the year-ago quarter. In Agricultural Products, sales of $305 million increased 17%, while segment earnings of $93 million were level with the year-ago. In Specialty Chemical, sales of $203 million increased 16%, while earnings of $41 million increased 7%. In Industrial Chemicals, sales of $215 million declined 2%, while earnings of $35 million increased 51%. On a GAAP based reported net income of $77.4 million or $1.06 per diluted share. GAAP earnings in the current quarter included net charge of $21 million after-tax or $0.28 per diluted share versus the net charge of $20.2 million after-tax or $0.28 per diluted share in the prior year quarter. With that reconciliation and non-GAAP earnings were $1.34 per diluted share in the current quarter, an increase of 10% versus $1.22 per diluted share in the first quarter of 2009. Let me take a more detailed look at the performance of each operating segment in the quarter. First, Agricultural Products; sales gained in Latin America, especially Brazil, led the increase reflecting improved market conditions in several key crops, such as sugar cane and cotton, coupled with growth from new and recently introduced products. Our crop production businesses in Europe and Asia also realized sales gain. Sales in Europe increased mainly due to a shift in sales. Sales in Asia improved, reflecting growth in several key countries including Korea, India, and Indonesia. In North America, sales were modestly lower than a year ago as unfavorable weather conditions and high channel stocks delayed purchases by our distributors. Segment earnings of $92.8 million were level to a year ago, as sales growth was offset by one-time distribution costs, the absence of the prior-year benefit of lower cost inventory, less favorable mix, and increased spending on growth initiatives. Now moving to industrial chemicals. Sales of $215 million declined 2% from the prior year quarter, as volume gains in soda ash, especially in export markets, peroxygens and phosphates were more than offset by reduced phosphates, hydrogen peroxide, and soda ash export selling price and lower electricity sales due to the divestiture of a Spanish cogeneration facility in the third quarter of 2009. Segment earnings of $35 million were 51% higher than the year ago quarter, as a result of the broad-based demand recovery, the benefit of lower cost inventory versus the prior year, and the benefit of a one-time sales contract settlement related to (takeaway) provision. Though this one-time benefit was not in (April '10) guidance, excluding this benefit segment earnings, still exceeded our prior guidance as a result of better than expected volume gains and lower operating costs. Moving to corporate items. Corporate expense was $12.1 million as compared to $11.3 million a year ago. Interest expense, net, was $10 million versus $7 million in the prior year quarter. On March 31, 2009, gross consolidated debt was $699.9 million, and debt, net of cash, was $613.2 million. For the quarter, depreciation and amortization was $33.9 million, and capital expenditures were $31 million. Now, I'll turn the call over to Ted Butz for review of the performance and prospects of our Specialty Chemicals segment. Ted?
Ted Butz: Thank you and good morning. I'm pleased to be with you today to report on the current performance and outlook for specialty chemicals group. After updating you on our current performance, I would like to provide insight into the growth strategies that will lead specialty chemicals continuing to deliver record performance for the growth. Revenue of $203 million was 16% higher than the prior year's quarter. Strong commercial performance in BioPolymer and higher volumes in our lithium business was partially offset by lower pricing in lithium primaries. Segment earnings of $41 million were 7% higher than prior year, consistent with our guidance for the quarter. Favorable commercial performance and the benefits of productivity initiatives were partially offset by lower pricing in lithium primaries and the absence of the benefit from lower cost inventories in the first quarter of 2009. In our lithium business, revenues increased by 25%, driven by strong end-use demand, particularly in our primaries segment. Pricing levels in lithium primaries were lower than prior year, but had some signs of stabilizing in recent months. Our downstream butyllithium business saw improvement in both volume and average price levels. Lithium earnings were lower as expected due to the lower pricing in our primaries business and the absence of prior year benefit of lower cost inventories. These items more than offset the favorable impact of strong volume growth, and the benefits from last year's restructuring initiatives and ongoing productivity initiative programs. BioPolymer's first quarter revenues also increased significantly with broad-based volume gains across food and pharmaceutical segments, and higher pricing in food ingredients. BioPolymer earnings increased in line with revenues, driven by strong volume growth across BioPolymer, higher pricing in food ingredients, and productivity initiatives. Looking at the outlook for the second quarter and the remainder of the year, we expect continued strong performance across this segment. Second quarter revenues are expected to be up in the low double digits over prior year driven by improved results in both BioPolymer and lithium. We expect earnings to be up 25% to 30%, driven by continued strong commercial performance in BioPolymer, significant demand recovery in lithium primaries, and higher selling prices in lithium specialties. Revenues for the full year are expected to be approximately 10% higher, driven by continued growth in BioPolymer and a strong return of volume in lithium. Partially offsetting this growth is the expected unfavorable impact of European currencies. Full year earnings growth is expected to be in mid-teens for our Specialty Chemicals segment. We expect BioPolymer to deliver record earnings for the sixth year in a row, and for our lithium business to make us substantial progress in recovering from a difficult market condition in 2009. Let me now turn to a more detailed review for each of our business unit strategies that will allow us to continue to sustain our performance. Starting with Lithium; we've been in the lithium business for more than 50 years. We're the second largest supplier in terms of revenues, with a broad presence in both upstream primaries and downstream performance markets. After a difficult 2009, the lithium industry is witnessing a strong recovery in demand. Although we do not expect the industry to fully achieve pre-recession volume levels until later in 2011, we remain encouraged by the sequential improvement over the last several quarters. Increasing demand is fairly widespread, reflecting the economic recovery and selective inventory restocking in energy, storage, and other segments. Our longer term outlook also remains bullish, as strong demand in established energy storage applications and downstream market applications are driving growth. We expect the current market for lithium, excluding automotive applications will increase approximately 6% annually through the next decade. The energy storage segment is expected to be a key growth driver for the overall market. With the increasing focus on electric vehicles, future growth in lithium to support new battery solutions in this segment is expected to be significant. We continue to be encouraged by the amount of activity occurring in this space, and believe that the lithium material supplying the automotive segment could account for over 40% of future demand by 2020. However, the majority of this growth will not occur until the second half of the decade, and is dependent on a number of critical assumptions remaining valid. Given the expected long term growth in demand, a number of new capacity investments are being discussed through the Americas and Asia. The majority of these investments will not impact industry demand for three to five years, and many may not be commercially viable at current price levels. FMC's strategy is to remain a broad-based supplier to the lithium industry. In our downstream business, we have aggressively altered our footprint by expanding in rapidly growing economies of China and India, and restructured operations in the more mature markets in North America and Europe. In tandem with the restructuring initiatives, we are successfully implementing price increases in a number of downstream markets that has enabled us to improve profitability and provide a strong position to profitably grow for the foreseeable future. In our primaries business we are continuing to build relationships with key suppliers in the electric vehicle battery market. We are encouraged that the combination of our quality, cost position and broad geographic presence is resulting in FMC being considered as one of the leading suppliers of lithium based chemistries for this growing segment. As a result of current customer demand, our board has recently approved a major expansion at our operations in Argentina. We expect that this new expansion will come online by the end of 2011 and we'll add between 25% to 30% to our current capacity. In addition to serving the demand growth of our existing customers, we expect this project to significantly lower our overall cost due to improved process technology. The longer term outlook for FMC remains very attractive in Lithium. In addition to ongoing recovering in industry demand, we expect the benefits from the expansion in Argentina, commercialization of new lithium technologies for batteries and ongoing productivity initiatives will provide an excellent backdrop for significant top-line and earnings growth. Turning to our largest division, biopolymer currently accounts for over 70% of Specialty Chemical revenues and earnings. We have two established market-oriented businesses focused on food ingredients and pharmaceutical excipients, and have leading physicians that account for more than 90% of biopolymers current revenues. These businesses are supported through a common infrastructure that delivers cost efficient product supply, core technology and administrative support to each business. Biopolymers core markets are growing approximately 4% to 5% a year. Over the last five years, biopolymers has grown at top-line at an annual rate of 10%, through a combination of organic growth and built-on acquisitions. On a earnings basis, our growth over the same period has been in the low to mid teens, resulting in overall margin improvement. We believe that today, we are among the most profitable ingredient suppliers in food and ingredients or excipients. The drivers for this performance and the ability to sustain margins into the future, is based on our ability to successively execute across six strategic initiatives. Focusing on market segments where we can extend customers product life cycle, partnering with major category leaders across the globe, employing deep product and application expertise to customer solutions, building a global footprint and investing in rapidly growing markets, relentlessly driving for productivity and efficiency and identifying and integrating attractive built-on acquisitions. Let me go into a little more detail on each of these initiatives. Although our food and pharmaceutical markets have different marketing competitive drivers, we're able to drive a premium for our products in both businesses by focusing on segments, through our products add clear value to customers' ability to sustain and grow their own products. To a large extent, we do not purchase patent commodity applications. We also have not over-invested in early stage development opportunities that can often take five or more years to play out and has significant commercialization risk. Our target customer has a product portfolio that has a life cycle, and is somewhere in between. Our core expertise is driving improvement in our customers' life cycle through the combination of new technology, improved focus on cost in use, and global reach. Partnering with category leaders has been, and will remain critical to our success. In Food Ingredients, we play with the majority of the global food processors and have strong positions with many regional leaders throughout the world. In Pharmaceuticals, we play with a similar presence with all the key innovators in addition to strong positions with leading generic players. In our experience, it has been the leading customers who've grown the fastest and have the best ability to commercialize new products around the world, whether internally developed or acquired. As these customers expand globally, we have tended to grow with them. A core strength of FMC BioPolymer is through its understanding both customer applications and product technology. BioPolymer has invested significantly in technology to maintain leading capabilities across the globe with seven innovation centers that are close to our customers. We've also built deep capabilities in core product technologies based on innovative material science, and process technology. We have successfully integrated these approaches for years, and can offer many of our customers the best technology solution at a favorable cost in use. This is a very leverageable capability that has allowed us to develop opportunities across business segments and regions, and in addition to bringing new capabilities through the acquisitions that we have made. The fourth strategy area is focused on increasing our presence in rapidly growing markets. Today, these markets account for approximately 30% of our revenues, and continue to offer significant growth opportunities. In Asia alone, revenues generated this year will be more than double those generated four years ago. In China and India, we'll represent the BioPolymer's largest markets after the United States and the UK. To support this growth, we continue to add resources in Asia and Latin America, and in 2008 we acquired a dairy blending business in China to expand our commercial capabilities and customer reach. We're actively engaged in discussions with several other potential bolt-on acquisition targets that would further increase our position in these markets. Outside of Asia, we're growing in Brazil and Mexico and are increasing our focus in Eastern Europe where we have a relatively low penetration. For the future, I expect these markets will continue to offer attractive growth that is often more double the growth rates we are seeing in developed regions. Driving productivity and efficiency has been a hallmark of FMC across all of its business units. We're very good at this and our successes let us to have the lowest delivered cost to serve in almost all of our product lines. Our success is twofold. First, in operations, we have a strong culture that annually targets to drive out costs every year through defined cost improvement plans. In most years, this was achieved through a combination of project savings focus on raw material, yield improvement, maintenance for energy savings and low-capital capacity debottlenecking. The second area of efficiency is in how we go to market. Our sales, marketing and administration structure is lean and efficient and is significantly lower than most of our competitors. We like it this way and believe that we can successfully continue to drive productivity to offset ongoing cost increases. The final strategic initiative is finding the right bolt-on acquisitions and integrating them well. 2008, we acquired ISP's alginate business and CoLiving's dairy and blend business. Both acquisitions have been successes in terms of returns and earnings contribution. Both are ahead of acquisition plan and give us increased confidence that our model for identifying, acquiring and integrating businesses is on track. So what does the future look like for BioPolymer? In food ingredient, we are pursuing several strategies that would provide opportunities to expand our position into other value-added food texturizing ingredients. Given our deep application knowledge in texture, the understanding of other ingredients is very strong and provides the foundation for us to leverage our capabilities into other texture ingredients. We're also selectively evaluating opportunities that could move us outside of texture and build on capabilities to provide improved solutions to the dairy and beverage customers, both our key markets for our ingredients. Finally, we're working on developing several specialty ingredient technologies based initially on (sea weeds) that has unique health and nutrition properties. In pharmaceuticals, we have a great franchise and strong customer relationships that will provide a solid basis to broaden our footprint. In this business, expanding our presence in rapidly growing countries is underway and should result in attractive growth. We're also focused on adding to our capabilities and controlled release technologies alternative dose forms and in partnering with customers to improve the potential of drugs with poor solubility. Overall, biopolymer is an excellent platform, well-positioned to capitalize on further growth potential. And in summary, for Specialty Chemicals, I feel good about where we are and where we're headed. We have an attractive organic growth in biopolymer and lithium, a track record of strong performance, success in integrating acquisitions, and a portfolio of attractive opportunities to advance our growth. Mentioned earlier, our expectations, they have another record year in 2010; revenue's up 10%, and earnings up in the mid-teens compared to prior year. With that, I'll turn the call over to Kim Foster and be happy to answer any questions during the Q&A. Kim?
Kim Foster: Thanks, Ted, and good morning everyone. Moving to our financial position, first, free cash low. As a reminder, free cash low was after acquisitions, but before cash return to shareholders. For 2010, free cash low is still projected to be approximately $200 million dollars. The free cash low was higher than 2009, mainly due to higher earnings, lower capital spending, better working capital performance, and the absence of acquisitions spend. While our projections do not include funds for acquisitions, we continue to pursue acquisition opportunities in 2010. Each quarter prior to the conference call, we post the FMC outlook on our website. The bottom portion of the statement addresses corporate and other financial items. Let me make a few explanatory comments to address a few of these disclosures. Interest expense is expected to be approximately $42 million, an increase over last year due to the bond offering completed late last year. Capital spending of a $130 million is projected to be below depreciation and amortization of $135 million. We expect this relationship to continue for the next several years. Other income and expense is expected to be down year-over-year to $18 million of expense. Primary reason for the lower expense is that higher pension expense is more than offset by favorable LIFO charges. We will continue to look for opportunities to grow the company through a combination of internal and external investments. However, we will retain a strong balance sheet and maintain a solid liquidity position. We will continue to air on the side of financial prudence. With that, I will now turn the call back to you, Pierre.
Pierre Brondeau : Thank you, Kim. Regarding our outlook for the full year 2010, we have raised our guidance for earnings before restructuring and other income and charges to $4.45 to $4.80 per diluted share. The midpoint of this range implies growth of 12% above last year. We anticipate another year of strong performance for the company and are pleased with the progress of each of our businesses. We expect Agricultural Products to deliver its eighth straight year of record earnings, while increasing investments in innovation and continuing to deliver high profit margin. Second and third quarters in Ag Products are driven by northern hemisphere markets. Let me provide our outlook for North America and Europe. First in North America, planting is ahead of anything achieved in the past several years and opportunities for products look very good. In Europe, conditions have yet to be improving after a relatively slow start. In the first quarter, we had very good sales of (inaudible) driven by our intention to meet the May 2010 regulatory deadline. We also will have the benefit from Fungicide product line recorded last year, as well as for new pre-mixes we've introduced this year. So in summary, we are bullish about our northern hemisphere market and are expecting strong year-on-year performance in the second half of the year for Agricultural Products. In Specialty Chemicals, we expect biopolymer to achieve its sixth straight of record earnings while Lithium realizes significant earnings improvement mainly through volume driven sales growth. In Industrial Chemicals, we expect to record the second highest profit in the past ten years from the strength of the significant volume rebound from the prior year. Moving to our outlook for the second quarter; we expect earnings before restructuring and other income and charges of $1.15 to $1.25 per diluted share. In Agricultural Products, we look for second quarter earnings to be 15% to 20% lower as a result of shift in sales in Europe. The absence of prior year benefits of our cost inventory and increased spending on growth initiative. As Ted mentioned in Specialty Chemicals, earnings are expected to be up 25% to 30% driven by continued strong commercial performance in biopolymer. Significant demand recovery in Lithium primaries and higher selling price in Lithium Specialties. In Industrial Chemicals, we expect earnings to be up 75 to 85% versus the weakest quarter of 2009, driven by volume growth across the segment and the benefit of lower cost inventory in the prior year, partially offset by reduced selling prices. Sequentially, for the first quarter, Industrial Chemicals segment earnings will decline due to scheduled outages in the second quarter, including the move over longwall mining equipment to another area of a soda ash mining environment, and the absence of the favorable one-time sales contract equipment realized in the first quarter. With that, I thank you for your time and attention, and I would be happy to answer any of your questions.
Operator: (Operator Instructions) Your first question comes from Frank Mitsch with Bank of America Merrill Lynch.
Frank Mitsch - BB&T Capital Markets: You got Frank Mitsch part right, I'm not sure the name of the company is right, but BB&T Capital Markets. Pierre, talking about the Ag business, I noted that it was hampered in the first quarter by increased spending on gross initiatives. You said the same thing for the second quarter. Can you talk a little bit about the order of magnitude of that and when would be the expected pay off of the higher spending? And speaking of higher spending, I also noticed that SG&A was the highest in the past decade. Could you talk of some of the factors that went into that?
Pierre Brondeau: Sure, Frank. First, let me talk about Ag. We decided to increase the spending for the year. In the February call, we decided to increase the spending by roughly $10 million in innovation. So the cost increase on innovation for this quarter was slightly lower than $3 million, and we do have ongoing benefits. Some of the program, we'll have a pay off by 2014, but some also are driven by short term product development, which are resulting in increased sales very quickly. In term of our spending for SG&A this quarter, the quarter was up by $10 million, half of it, $5 million was the announced increase in pension cost. It's been all along part of our guidance. And the rest of it, $3 million is the innovation number I mentioned before, and the remaining couple million dollars being exchange rate (base).
Frank Mitsch - BB&T Capital Markets: And then, speaking of senior spending, your guidance for the year is $130 million. Does that include the cost of the Argentinean lithium expansion and in orders of magnitude, what is the cost affiliated with that expansion, and is most of the expense at 2011 or is it 2010?
Pierre Brondeau: First to the $130, yes. To the cost of such an expansion, the expansion we believe will be in the $20 million to $25 million, with about one-third of the spending this year, and two-third of the spending in 2011.
Frank Mitsch - BB&T Capital Markets: All right, terrific. And then lastly, Pierre, I know that you're undertaking a review of various businesses and so forth and had mentioned the (far status) as one area that you're taking a particular look at. Where do you stand on that analysis?
Pierre Brondeau: I think we are making progress. I do hope really that we will be able to have some firm recommendation toward the end of the third quarter. We do have currently some interesting leads in order to remove the cyclicality of the earning in this business. So we are making good progress. And that thing I am at freedom to give any details about at this stage, but I am pretty confident that there is options which are showing up by now.
Operator: Your next question comes from Arun Viswanathan with UBS.
Arun Viswanathan - UBS: Just curious about the pull forward into Q1, Q2 in agricultural pricings. Can you talk a little bit more as to what you think that was attributed to? It's not necessarily what we thought was some of the other competitors in Europe?
Pierre Brondeau: Your call is breaking up. Are you asking the earning changes sequentially in Ag chemical?
Arun Viswanathan - UBS: Correct, and the shift to Q1 to Q2 in Europe.
Pierre Brondeau: Alright. Let me explain to you, it's quite a simple situation you do have in Ag. We had sales of high profit products, actually it's licensing, which removed to the first quarter because of the statement I made before that the legislation forcing us to deliver on all of our sales for this year before the month of May. So, with a significant amount of (inaudible) sales, which we have moved from Q2 into Q1, we also have a significant (inaudible) sales which are being moved intentionally outside of the US to another market. We realized those sales early last year in Q2. They are now being pushed into Q3. So if you look at our performance we are expecting for Q2, we have a shortfall in earning versus the first quarter, or even year-on-year. But we are expecting a much stronger performance in Q3 and Q4 year-on-year because of the shippable sales. We, at this stage remain in line our guidance of mid-single digit earning growth for the Ag business for the year.
Unidentified Analyst: And couple of other questions I guess in the soda ash. Have you started to see any of the export prices flow through your earnings in that segment, and when do you expect that to reflect (inaudible)?
Pierre Brondeau: All right, today the way we have filled our guidance, we have not been focusing in the strengthening of export pricing. I stay with the same statement I made in February that there is some potential upside on the pricing front that we are not in a position to know how quickly. Because of our quarterly or six-month contract we have, we do not know how quickly those pricing will be impacting. We clearly see strengthening of pricing because of increase in China. Our pricing is getting more robust. We have not factored that in our guidance, and we could see an upside starting in Q3 for export pricing.
Unidentified Analyst: And similarly, on the volume front, is soda ash back up to where you were pre the recession, or how do you characterize your volumes on (that level)?
Pierre Brondeau: We are operating at very high capacity today, but remember that we had mothballed our Granger facility, so we are operating with a lower overall capacity. The question for us is to understand when the demand will be strong enough and if it continues to strengthen, we will have to make the decision for a partial or full opening at some point of Granger facility. So, we are still below fixed volume, but appearing at high capacity because of the fact that we are still holding the mothballing of Granger.
Unidentified Analyst: Do you think some of those terms could be expanded as soon as next year or what do you expect (inaudible)?
Pierre Brondeau: We have not decided on the timing. The balance supply demand will not be strong enough in 2010 for us to make such a move; we'll make a decision in 2011 of when we will need to reopen that facility. It will not be a 2010 event. A quick thing we can do is a solution mining facility. It's something we can partially open and quite quickly, but it will be a 2011 decision.
Unidentified Analyst: Okay great thanks.
Operator: Your next question comes from Rosemary Morbelli of Ingalls & Snyder Llc.
Rosemary Morbelli -- Ingalls & Snyder Llc.: Hi and good morning all. You have talked about Specialty Chemicals revenues growing at about 10% for this year. You have given us no idea for Agricultural Products and Industrial. I would guess that if you have a feel for what will happen to your bottom line, you also do have a feel for revenues, could you help us in those categories?
Pierre Brondeau: Certainly, for this full year, we are expecting Agricultural Products to be up in the mid to high single digit, and regarding Industrial Chemicals, we are expecting the full-year revenue to be up in the 5% range and that would be based on stronger volumes, that year-on-year price decline.
Rosemary Morbelli -- Ingalls & Snyder Llc.: Okay. And I was correct on the 10% on the Specialty Chemicals. Right, that was for the year and not for Q2?
Pierre Brondeau: For the year around 10% for Specialty Chemicals.
Rosemary Morbelli -- Ingalls & Snyder Llc.: Okay. And could you give us some details on this one time distribution cost in Asia, on the Agricultural Products category?
Pierre Brondeau: The one time, no, it's not in Asia. I suppose you talk about the additional freight cost we have in Agricultural Products, what has been happening is, there was a lack of ability of all of our suppliers to supply some of the product because of a shut down by one of the contract manufacturer. As a consequence, we have been enduring air freight to maintain the supply of our customers and this has been creating an additional cost, which was in the $4 million range.
Rosemary Morbelli -- Ingalls & Snyder Llc.: Okay and that is over now?
Pierre Brondeau: It's over now. It was just a one time event coming from one of our supplier.
Rosemary Morbelli -- Ingalls & Snyder Llc.: Okay and if I may ask one other question. The weakness of the Ag business in North America due to the weather, are those revenues that you can make up in the second quarter or whatever is gone is gone?
Pierre Brondeau: Absolutely, I just want to make sure actually there is a good understanding of our Ag story. We're feeling very, very strong about Ag from a top line in earning hour. What we need to do is, we have to look at Ag on a year basis, and we're very comfortable with our gains to have Ag revenues up in the mid to high single digit, we're feeling very strong in both the second half of the year for Ag in North America and Europe. And you will see in Q3 a performance which we have step up versus Q3 of least year. So all in all, yes to answer your question. Also you know that the Ag strength for us is very much based in the strength of Brazil in the second half of the year. There is always question mark that early, but all indication we have today is, we should feel confident about the back end of the year. So all in all, it's very important not to look at Q2 as a sign of the weakness over Ag business, it is just the pattern of sales and earnings for the year, but all of that we'll turn in strong year for Ag at the end of the year.
Rosemary Morbelli -- Ingalls & Snyder Llc.: Thank you. It was very helpful.
Operator: Your next question comes from the line of (Peter Botmer from Greenhill Investment).
Unidentified Analyst: Pierre, could you sort of aggregate or summarize what the benefits you were expecting from previous cost reduction programs and it feels like you're starting off on some new cost reduction programs though, could you aggregate an estimate for us the impact of any new programs?
Pierre Brondeau: We are, I mean, the key thing we are looking at today in term of cost reduction is really leveraging our side in places like of procurement, supply chain, logistics. We have right now, the sign of part of the organization consulting firm, which is in full speed moving forward in gathering data around our spend. Initial finding is confirming to us that there is benefit to be realized in the short term and expecting cost in fact price this year, none of that being against for the simple reason we need another six weeks to get to the numbers and define a target numbers for manual settings. So we are not close to being able to get even to those numbers. I might be able to have more information when we'll be getting into the Q2 earning calls, but at this stage I am not capable of putting a number around those cost reduction.
Unidentified Analyst: Okay, what does the road map for your M&A initiatives look like now, you had obviously a few more months to scan the horizon. And what do you see for the possibilities and perhaps timing on several bolt-ons?
Pierre Brondeau: We are still inferior. It's always very difficult to comment on M&A in any precise way. We have continued to refine our road map, we do have identified targets. I was about to say most, but it's not most, all of these targets are in either agricultural or the food and pharmacy segments. All of these are (inaudible), as I said before I am the much bigger fan of slow, quickly integrated acquisition and now it's transformational. And we are in discussion with small and medium size opportunities, so the process is moving forward. I would like to have one or two meaningful move this year, but you know how acquisitions are, it's all or nothing so can't be sure.
Unidentified Analyst: Okay, thanks for your help.
Operator: Your next questions comes from the line of Douglas Chudy with Keybanc.
Douglas Chudy - Keybanc: Good morning, I guess first of moving over to the Ag segment, does the increased planted acreage in Southern Hemisphere over the past two quarters for key crops such as sugarcane, does that any provide any kind of through for pesticide demand when we enter, say, fourth quarter or the first quarter next year?
Milton Steele: Yes, we do expect hectares or acres to be up in the Southern Hemisphere, Brazil specifically, in cotton and sugarcane, and probably Soya beans and that does all go well for the 2010-2011 season.
Douglas Chudy - Keybanc: So generally, is their a timing where for the first couple of year you would require more pesticides to those crops I guess, initially are harvested?
Milton Steele: In general yes.
Douglas Chudy - Keybanc: Ok and then I guess secondly, moving to the Industrial segment, can you just provide what was the volume and price breakdown during the quarter? Certainly you saw nice volume rebound and inside of the pricing headwind.
Pierre Brondeau: Yes, I can give you some information around the pricing and offering this for industrial chemicals. If you look on a gross margin of standpoint, we had a volume contribution. Let me go through for ICG, overall pricing was down by 60% on exports and flat on North America and volume was up 12%.
Douglas Chudy - Keybanc: Ok, that's helpful. And just one final question, where around are your operating rates for the phosphates business rate now? And kind of how do you see this trending out as the year continues?
Pierre Brondeau: The phosphate business today is still operating at a rate, which is not high and the profit of it is still very questionable. So, really it's a business, where we do have to make a strategic move. It's a business today, which at best breaks even. So, we need to look, it goes beyond capitalization. It's overall leveraging over source of raw material, the phosphate drug situation, pricing of phosphate drug and the market, specially (details in) market we are addressing. So I think we have a prime, which is beyond capitalization today. It requires some strategic move to get out of the situation, where at best we break even.
Douglas Chudy - Keybanc: Thank very much.
Operator: Your next question comes from the line of Kevin McCarthy with Bank of America Merrill Lynch.
Unidentified Analyst: Good morning, this is (Alex Euframer) for Kevin. I had a question on specialty business, you forecast acceleration and earnings in the second quarter versus first. Can you tell us if incremental earnings are coming from mostly biopolymers or Lithium or just break out the extra earnings some how.
Pierre Brondeau: I mean we do have top-line growth in biopolymers and when you a situation like the one we had in 2008, where raw material grew up and then grew down dramatically, you do have depending upon your inventory turns, you do have variation on the cost of your inventory. So, what does it do for the company FMC? All in all, nothing; pretty much zero in fact on the bottom line of the company. But it has difference in facts on the business segments. On the first quarter, and it was a positive situation for Industrial Chemicals. For Ag chemical, is negative situation year-on-year on the first and second quarter. For specialty polymers, it's negative in fact on the first quarter, but not in the second quarter. So sequentially, you are getting a benefit from that situation.
Unidentified Analyst: Okay, thank you. And maybe just in terms of underlying business trends, I had a question on Lithium pricing, the press release mentions higher prices in Specialties, could you comment if you raised prices recently or it's prior increases?
Pierre Brondeau: Ted, do you want to take that?
Ted Butz: Sure. Alex, in Lithium, we are benefiting from some price increases that we launched last year, but in our downstream business, which is primarily our butyllithium, we continue to see progress being made in pricing and we think that appetite continues in that industry as the health of that business improves.
Unidentified Analyst: Okay, thank you. And finally, do you quantify the impact of outages in the Industrial segment in the second quarter.
Pierre Brondeau: Yes, I can give you some numbers. I believe that moving the longwall is usually a cost of about $4 million. So that the one big cost we're going to be facing this quarter and there is the multiple outages we do have for maintenance and preventive maintenance of the plant near the capital of (inaudible). So you have about $6 million linked to outages and moving of the longwall.
Operator: Your final question comes from Dmitry Silversteyn with Longbow Research.
Dmitry Silversteyn - Longbow Research: Couple of questions; first of all you mentioned ongoing cost increases I think in discussion of the crop protection business, although I may have missed it, it may have been on industrial side. Can you talk about what those are? And then secondly, your increased spending or investment as you call it in the crop protection business, can you give us an idea of what that money is being spent on distribution channels, or are you resurrecting your internal R&D program, kind of where that incremental spending is being deployed?
Pierre Brondeau: Most of the increased spending is in the Ag segment. There is multiple places, but the two big buckets are, increased spending in innovation. It accounts for about $10 million a year, slightly short of $3 million this quarter, that's one increase. The other increase is tax (inaudible) and selling cost increase in Brazil to allow the growth we do have today. So those are the two biggest buckets of spend increase for the Ag business. The innovation spending is directed to new technology short term, making sure we increase the number of registration of product. We do have around the world, we do have a very aggressive registration program to allow us to introduce new pre-mixes and formulation. We do have also a level of technology in multiple-field, including biological which are being worked on today, which are more mid-term, and you also know that we are very active at licensing in technology to then leverage this technology with some of our internal technology. That's where this $10 million of annual increase is being spent, all of that to create short-term and mid-term sales increase.
Dmitry Silversteyn - Longbow Research: Okay, so in addition to kind of your normal in-licensing of new products, it sounds like you're going to be spending more money on that as well as maybe getting some branded or proprietary mixtures out there registered. So when do you expect to see the benefit of that starting to hit, and are we going to see the benefit of that mainly in the top line or in the mix in margin as well?
Pierre Brondeau: We should see both. I think it's absolutely critical for us if we increase spending, that increased spending is more than we carry through the profit of the product. So our intent is very quickly. And we will sign of progress as soon as 2011 in some aspect. But our intent, for example the result of new registration and new (clinics) we have multiple program around the world. Those benefits will be seen very quickly. So you will have a positive insight on the supply and the bottom line.
Dmitry Silversteyn - Longbow Research: And then one final question; can you remind us if your export soda ash business is denominated in dollars or local currency?
Pierre Brondeau: My colleague will take that.
Kim Foster: Sure. Dmitry, it's in dollars.
Dmitry Silversteyn - Longbow Research: Okay, so the stronger dollar, even in the absence of price increases in the export market should be a positive for you in terms of both profit and top line?
Kim Foster: Yes.
Operator: This does conclude the Q&A portion of today's conference. I'd now like to turn the call over to Mr. Brondeau for any closing remarks.
Pierre Brondeau: Yes, I would like to make some closing remarks and confirm that the company will remain a highly focused company, operating along five thrust. First, it is our intent, and we will maintain financial strength and strategic flexibilities with a solid balance sheet, investment grade rating, a conservative liquidity profile, and a strong cash flow. Next, we will be lowering operating cost by leveraging the company's size in places such as procurement, logistics, and supply chain. Third, we will focus on growth in agricultural products and biopolymer, with an increased impetus on internal technology development complimented by financially attractive bolt-ton acquisitions and technology in-licensing and the balance toward capturing share in rapidly developing economy. Fourth, we will strengthen industrial chemicals, (Ag) portfolio; we will reduce earning volatilities and leverage the strength of soda ash and peroxygens and evaluate a new environmental platform. Our last objective is to make sure that we position our lithium business from this decade as the next growth platform. Today, a full strategic review of the company is underway to develop a roadmap for greater top-end growth without compromising our commitment to shareholders to deliver sustained earning growth. This whole strategic review would be completed and ready to be implemented by the October Board meeting. We will shortly follow by an Investor Day to share our strategic direction and introduce our five-year vision for FMC. Once again, thank you very much for your time and for listening to our comments.
Operator: Thank you. This concludes the FMC Corporation first quarter 2010 earnings release conference call. You may now disconnect.